Operator: [Operator Instructions] I'd now like to introduce CEO, Andre Rogaczewski; and CFO, Thomas Johansen. Speakers, you may now begin.
André Rogaczewski: Thank you. Good day, and welcome to this presentation of Netcompany's results for Q4 and full year 2025. My name is Andre Rogaczewski, and I'm the CEO and Co-Founder of Netcompany; and I'm joined today by our CFO, Thomas Johansen. And before we get going, there are some important disclosures that I need you to read through. So could we have Slide #2, please. I will pause for 30 seconds here and let you all have a read-through of these important disclosures. And with that, can we go to Slide #3, please. The topic of today's presentation is our performance for Q4, full year '25 and financial guidance for '26. I'll start by walking you through the business highlights for Q4 and '25 in general. And once I'm done, Thomas will go through the financial performance, including our guidance for 2026 before we can open the call for questions. And can we have the next slide, please? Over the past year, we've navigated a landscape defined by geopolitical uncertainty. In times like these, the call for resilient, secure and digitally sovereign Europe has never been more urgent. At Netcompany, we are not just observing these changes. We are actively building the solutions that Europe needs to thrive. For both governments and private enterprises, the path forward is clear. We must move beyond legacy systems, streamline administration and responsibly embrace the power of AI. Why? Because technology that truly works and deliver tangible benefits is the single most important force that can bring Europe to a competitive edge. It's what will strengthen our position in the global race, a race where we, as a continent, stand for true democratic values. We have clearly differentiated our offerings from our peers, which is also why we continue to grow by using platforms and products and AI will become a force in the industry and someone other vendors strive to become. At the crucial and complex space where we operate developing regulated IT solutions that truly matter, we have a clear and ambitious goal to become a European tech giant. That is the future we are building. We will get there by accelerating growth and profitability by transitioning from a pure IT service model to a hybrid model, driving expansion through a portfolio of scalable products and platforms and related expertise. The future does not belong to traditional IT consultancy companies building solutions from scratch, but rather to European platform companies using components and products and AI to deliver in a fast, reliable and responsible way. And in 2023, we launched a product and platform strategy embracing this development, and we are strongly positioned to take market share from the more traditional players. Our talented employees embrace this development, and we continue to look at how we can become better in everything we do. To us, this is not a threat but an opportunity. And in 2025, we realized an eNPS of 32 compared to 22 in 2024, highlighting that the trajectory we are on is supported by our employees, too. With the combination of our products, platforms, AI and talented employees, I believe that Netcompany is the most modern and future-pointing company in our sector. That is why when I look to 2026 and see the uncertain global geopolitics that the world finds itself in, I'm comforted by knowing that Netcompany will raise the challenge and enable that we digitize Europe responsibly making us stronger, more competitive and resilient. To get there, first, we need to show velocity. Europe's legacy needs to be replaced and new systems designed to embrace and embed AI must be put in place. Our dedication and skills combined with our platforms and products will get us there. Secondly, we need to show determination by consistently delivering on time, at budget and within the required quality. This is how we'll continue to stay competitive by acting intelligently, by reusing as much as possible, adhering to our methodology, we will show the way. We are uniquely combining our own platforms and products with our abilities as a system integrator. This gives us the edge. This is how we will prevail. This is how we're different. We are confident in our direction and immensely proud to be at the forefront, building the digital foundation for a strong, independent and prosperous Europe. And we will continue the momentum we've built to push even further in '26. Europe needs us more than ever. And can we have the next slide, please? And 2025 was also the year we cemented our position in the financial services industry with the merger of SDC into Netcompany Banking Services. The integration has moved swiftly and since the beginning of this year, all employees of Netcompany Banking Services have been integrated at our headquarter office in Copenhagen, fostering closer collaboration with colleagues from across the group. We have launched the first new modules for our Netcompany Banking Services customers, and we will continue with ongoing new releases. During the second half of 2025, we have seen a significant improvement in margins, and we expect more to come as synergies will be realized. The integration is progressing faster than initially anticipated and the synergy targets announced in connection with the Capital Markets Day remain unchanged. And can I have the next slide, please? That our purpose and ambition for a prosperous and digital sovereign Europe have had merits with clients in both the private and public segments in our markets is supported by continued contract wins throughout the quarter. In the U.K. public sector, we have been selected by HMRC to implement and operate the next phase of the Trader Support Service, TSS. The solution will be built on a market-proven ERMIS customs product and our AMPLIO platform. Netcompany Banking Services was selected by OBOS-Banken in Norway for the delivery and maintenance of the new core banking system. The agreement is a testimony to Netcompany Banking Service approach to open architecture, flexible integration and a high degree of automation. In the Danish private sector, we've expanded our agreement with Forca bringing Festina alongside to deliver the pension solution for the future with OpenAdvisor. The implementation of OpenAdvisor platform from Festina will be a part of the complete pension solution delivered to Forca and its customers. And can we have Slide #7, please? In the Danish public sector, Netcompany has been selected as a vendor under a framework agreement with the Danish Agency for IT and Learning. The framework covers development and maintenance of a portfolio of critical education and grant administration systems. And in the private sector in Greece, we have secured a 3-year extension with Cosmote Payments. The extension includes development, maintenance and operational support across the full Cosmote Payment ecosystem. Furthermore, in the private sector in Greece, we have been awarded a contract by the National Bank of Greece covering several key strategic areas, including the development of the bank's AI framework. And with that, I will now pass on the word to Thomas, who will go through the numbers. Please, Thomas, go ahead.
Thomas Johansen: Thank you for that, Andre. Like already mentioned, I am the CFO of Netcompany, and I will go through our financial performance for Q4 and for the full year 2025. So if we move past the breaking Slide #8 and straight into Slide #9, please. We ended 2025 with a strong quarter and grew organic revenue in constant currencies by 10% compared to Q4 2024. Currencies impacted revenue growth negatively by 0.5 percentage points in the quarter, resulting in reported organic revenue growth of 9.5%. Organic growth was driven by 20.7% growth in revenue from the private sector and 5.2% growth in revenue from the public sector. Revenue growth was driven by a mix of new wins related to our products and platforms and revenue generated from existing customers with contributions from all segments. Group revenue grew 35.5% in the quarter, of which 25.4 percentage points were nonorganic related to the inclusion of Netcompany Banking Services. Continued the strong performance in Q3, Netcompany Denmark revenue increased 10.2% compared to Q4 2024, mainly driven by 27.9% growth in the private sector with contribution from multiple verticals, most notably in the financial services industry with both new and existing customer engagements. Netcompany SEE & EUI grew revenue 6.9% compared to the same period last year. The growth was driven by both the public sector, including the EU and the private sector, which grew 4.9% and 12.7%, respectively. Netcompany U.K. also continued its strong growth from the previous quarters and grew revenue 28.1% compared to Q4 '24. The growth was driven by both the public and private sector with increased engagements within Tax and Customs and Defense and Resilience. In Netcompany Banking Services, revenue decreased 3.9% compared to pro forma revenue in SDC in Q4 2024. SDC results in Q4 last year were positively impacted by one-off revenues from customer "outconversions" and exit fees. In Netcompany Norway, revenue increased by 7.4% compared to the same quarter last year. And in Netcompany Netherlands, revenue was in line with the same quarter last year. And can we move to the next slide, please? During a year when most of our peers have seen little to no growth, Netcompany grew organic revenue by 7.9% in constant currencies compared to 2024, fully in line with our guidance given at the beginning of the year. Organic growth was driven by both public sector, including EU that grew 7.4% in '25 and the private sector that grew revenue 8.4%. Growth in both segments was supported by our go-to-market strategy, focusing on dedicated industry verticals, combined with our embedded AI product and platform solutions. Group revenue grew 20.8% in 2025, of which 13 percentage points were nonorganic related to Netcompany Banking Services. And can we move to the next slide, please? In Q4 2025, organic adjusted EBITDA, that means excluding NBS, before allocated headquarter cost increased 21.3% to DKK 346.4 million, yielding an organic adjusted EBITDA margin of 18.8%, an increase of 1.7 percentage points compared to the same quarter last year, all in constant currencies. Group adjusted EBITDA before allocated headquarter costs increased 41.2% to DKK 403 million in Q4, yielding an adjusted EBITDA margin for the group of 17.7% compared to 17% in Q4 2024, even with the inclusion of Netcompany Banking Services, which actually impacted margin negatively by 1 percentage point. In Netcompany Denmark, adjusted EBITDA margin increased 4.7 percentage points to 26.2% in Q4. The significant development was a result of improved utilization and our continued focus on scaling revenue without a one-to-one relation in FTE growth, underpinned by a 2.5% increase in client-facing FTEs compared to double-digit revenue growth in the quarter. In Netcompany SEE & EUI, adjusted EBITDA margin was 13.3% in Q4 2025 compared to 15.5% in the same quarter last year. The decrease in margin was a result of lower license revenue income recognized in this quarter compared to the same quarter last year. In Netcompany U.K., adjusted EBITDA margin increased by 4.4 percentage points to 14% in Q4, an improvement reflected by better project execution as well as continuing focus on converting freelancers into own employees and especially public deliveries. In Netcompany Norway, adjusted EBITDA margin was breakeven in Q4. And in Netcompany Netherlands, margin decreased to 18.8% based on timing events. In Netcompany Banking Services, the adjusted EBITDA margin was 13.3% in the quarter compared to pro forma adjusted EBITDA margin of 6.4% in SDC in the same quarter last year. On a sequential basis, margin in Netcompany Banking Services more than doubled compared to Q3 as the integration is progressing faster than anticipated, and we're starting to see the impact from synergies materializing. The performance in Q4 2025 fully supports and validates our expectations for synergies. And with the recent win of OBOS in Norway, we are confident that Netcompany Banking Services will be able to take market shares going forward. Can we have the next slide, please? For the full year 2025, organic adjusted EBITDA margin before allocated headquarter cost was 17.8% compared to 17.6% last year despite increased time spent on product and business development during the first half of the year as well as time spent on preparation for the SDC integration. Group adjusted EBITDA margin before allocated cost from headquarter was 16.9% compared to 17.6% in the same period last year. The lower margin was fully attributed to the inclusion of Netcompany Banking Services into the group. Can we have the next slide, please? In Q4 2025, we employed an average of 9,752 FTEs, equal to an increase of 1,500 FTEs or 18.2% compared to Q4 2024. Of this, 7.8 percentage points were organic and 10.4 percentage points were nonorganic as a result of including Netcompany Banking Services into the total number. Attrition rate for the last 12 months was 18.1% for the organic part of the group, which was in line with Q4 2024. Netcompany Banking Services is right now in the initial phase of a significant structural reorganization. Stand-alone attrition rate for Netcompany Banking Services was 27.5% for the last 6 months. And can we go to the next slide, please? Along with previous years, a continued focus within our group is that of working capital management. And while our cash conversion ratio was lower at 98% compared to 147% in 2024, we are still satisfied with our result. First of all, we are comparing against an extraordinarily high cash conversion ratio in 2024. Secondly, two of the most important metrics indicating whether we are on the right track in our focus on working capital management, both improved in 2025. The relative share of net work in progress and accounts receivables combined relative to revenue decreased compared to last year as did days of sales outstanding. We ended the year with DKK 287 million of cash at hand, up slightly from last year. Our leverage was 1.6x, naturally impacted by the acquisition of SDC, but still at a level giving us strong balance sheet momentum into 2026. During the year, we have executed share buybacks of DKK 500 million, bringing our accumulated share buyback to DKK 1.3 billion in the period 2024 to '25. We canceled 2.5 million shares in March 2025, and we plan to cancel another 1.5 million shares in connection with the upcoming AGM, reducing our outstanding capital by more than 8% over the last years. To complete our 3-year committed share buyback program of DKK 2 billion, we have today initiated another share buyback program of DKK 750 million, of which DKK 700 million are to be executed in the calendar year 2026. And can we have the next slide, please? Revenue visibility for the group, excluding Netcompany Banking Services for 2026 amounts to DKK 5.3 billion, an improvement of 8.1% compared to 2025. Revenue visibility for Netcompany Banking Services for 2026 amounts to DKK 1.4 billion and solely relates to the private sector. And can we go to the next slide. Taking the current macro and geopolitical uncertainty into perspective and observing pipeline and revenue stability at the beginning of the year, we expect our group revenue to grow between 15% and 20% measured in constant currencies in 2026, including Netcompany Banking Services. Excluding Netcompany Banking Services, we expect revenue to grow between 5% and 10%. From a margin perspective, we expect to deliver adjusted EBITDA margin between 15% and 18%, also in constant currencies and also including Netcompany Banking Services. Excluding Netcompany Banking Services, we expect adjusted EBITDA margin between 16% and 19%. Based on our market position, our superior product and platform offerings, we remain committed to our long-term targets, and we expect to keep winning market shares in existing and new markets in the years to come. And with that, we've concluded the presentation of Q4 and the annual report. And if we move to the Q&A slide and open the call for questions. Thank you.
Operator: [Operator Instructions] The first question will be from the line of Daniel Djurberg from Handelsbanken.
Daniel Djurberg: Congrats to a solid year-end. I have two questions, if I may. And I could start off with a little bit on how to think of the license revenue. I think it was roughly 1% of group's organic revenue in '25, in line with '24. But now we also have the banking services and the OBOS deal, et cetera. But should we still expect the license revenue to account for roughly 1% of the group also for '26, '27? That's my question.
Thomas Johansen: Yes, I can start with that, Daniel, and thanks for the question. We don't give specific guidance on the different revenue lines in our group. But it's clear that with the focus we have on our products and platforms and with the maturing and commercialization of these, we would expect license revenue to be a larger and larger percentage of our total group. So without giving you any number, which you know what you asked for, but without giving you any specific number, we would expect that relative share to increase in the years to come.
Daniel Djurberg: That's fair enough. And if I may ask you on -- you have increased the organic growth in client-facing FTEs, while you have had a reduction in non-client facing, partly due to internal work made in early '25. But my question is, is the mix now between the non-client and the client-facing FTEs now is at the optimal level or if you could ask for more improvements or have to think?
Thomas Johansen: I'm quite sure that both Andre and I agree on this answer. So I'm going to give it because otherwise, Andre is going to give it for me. We would expect the level of non-client-facing FTEs that is the administrative part. We will expect that to continue to come down as it should.
André Rogaczewski: Yes.
Daniel Djurberg: Perfect. And may I also ask you a little bit on the geopolitical opportunity, if you call it. Recently, EU took a little bit more clear view on the need for the growing digital sovereignty and push towards tech funds and infrastructure funds, et cetera. But have you seen anything more taking place so far from this?
André Rogaczewski: Yes. I think you can say that our dialogues with both governments and large enterprises are obviously affected by the whole movement towards more resilient and a much more strategically independent solutions in the EU space. That goes for both public and private solutions. Now all the new platforms we have been launching in the last 3 or 4 years, they've been launched in a way where they can be moved and they're very flexible and containerized. So in that sense, many of the customers are truly interested in using our technology.
Operator: The next question will be from the line of Claus Almer from Nordea.
Claus Almer: Also from my side, congratulations with a strong Q4. The first question goes to Denmark and the private sector. You had a very solid growth in Q4. To what degree does this come from, let's call it, AI-based projects? That would be the first one.
André Rogaczewski: Yes. Thank you, Claus. That's a great question. Now what we see is that we don't sell AI like an independent offering. We sell AI as embedded offering. And that's something that's happened over the last 1 to 2 years. So customers are really interested in our experience and knowledge about specific industrial processes, for instance, in the financial industry. If you know something about life and pension or insurance or you know something about banking, that's the entrance ticket. But then at the same time, you have to show AI capabilities and treating that data with high levels of confidentiality and track where you use AI and why. If you're able to do that, you have a very compelling offering, and that's what we've been doing in Denmark. And that's what we see happening in the private sector. I hope that was answering your question. Yes.
Claus Almer: Yes, it definitely did. Then coming to the MPS division. It seems like your synergies is coming in a bit faster than initially communicated at least. Should we also expect that compared to the split you did at the CMD that you might be a little more front-end loaded? And then secondly, what about the commercial opportunities? I think, Thomas, you said you expect to take market shares. Have you been more confirmed about your potential or it's more following the business plan? That will be the second question.
Thomas Johansen: I'll start with the first part of the question, Claus, and Andre will take the second part of the question. When it comes to realization of synergies, what we can say at this point in time is that we reconfirm the plan that was laid out in connection with the Capital Markets Day, which is DKK 300 million to DKK 350 million, more or less evenly split over the years to come. And then with that said, we'll see how fast it goes. But as of now, there's nothing in our performance in Q4 that leads us to be worried about our ability to execute on that promise given earlier. So that's as far as I will go. And then I'll leave the other part to Andre.
André Rogaczewski: Yes. I think that when it comes to commercial possibilities here, I mean, the market is definitely in Denmark is much more dynamic now than it was just 1, 2 years ago for certain. But what is maybe even more interesting is that you don't really need to be the core system vendor in order to be relevant, delivering all other types of modules. And if you measure on the frequency and the quality of the meetings we have with the overall sector in Denmark, but actually also in Scandinavia, that frequency is going up. We have a lot of meetings. We have some really qualified discussions of how to use separate modules, not necessarily engaging with the entire banking platform. And I see that as very promising.
Claus Almer: Sounds great. And then just a small last question. VERA, is there any opportunity or possibility for you to share some thoughts about the progress you're doing with that solution?
André Rogaczewski: VERA is -- well, there's a huge interest in VERA. And technologically, I think we have one of the best solutions in the market space. We have a lot of qualified dialogues, and we also have prototypes running with several customers. But unfortunately, I can't go into further details at this moment, but it looks promising.
Operator: The next question will be from Balajee Tirupati from Citi.
Balajee Tirupati: Two from my side, if I may. Firstly, you have cited focus on efficiency gains from AI to be supportive for the group's growth. Are you seeing clients also looking at Netcompany for cost-out projects expecting your ability to better leverage AI for productivity gains? And secondly, I appreciate Netcompany doesn't have time and material-based pricing. But even for fixed price contracts, do you believe the industry would be able to retain productivity gains and not required to pass that on to clients?
André Rogaczewski: Yes, that's two very good questions. I mean your first question is, yes, we actually see that occurring now more and more. Not that it's a big part of what we do. Normally, we are hired to bring in an IT solution that will come up with the necessary effects. But yes, we also see some customers asking us to engage with them to realize the benefits. And when it comes to fixed price, I think the most important thing at the moment is to be relevant and price is important, absolutely. But the business case is even more important. So if you can show a time to deliver within, say, 1 year or even less, benefits that can be realized within 2 or 3 years and with a compelling business case, I don't find the fixed price and trying to bring that down somehow as an obstacle for our business model at all. So I think we are ahead of the curve. I mean, obviously, some services will become cheaper over time when AI inflects the businesses. But you have to be ahead of the curve and you have to be the one with the most compelling business model. And in that way, you can actually have a very, very good business.
Balajee Tirupati: If I may have one follow-up question on margins. So Thomas, could you share building blocks within 2026 margin outlook? It would appear that most of the margin improvement is coming from the banking services business, while outlook for the organic business suggests margin being broadly stable over 2024 level. Are you still factoring sourcing of Danish talents across the group as well as our efforts in product and business development in your 2026 outlook?
Thomas Johansen: So without giving you what you asked for, by the way, and that would also be the first time I'm doing that then, right? But without talking in details on the margin buildup, when you decompose the 16% to 19% on organic and 15% to 18% on group and then you can calculate backwards what that implied would be on Netcompany Bank Services. You're right in your math. Now we will do everything we can to continue to improve our efficiency within Netcompany call within Netcompany Banking Services and within the group. So at this point in time, early on in the year, we are comfortable with the guidance that we have laid out, both for the group and for the organic part and the implied part that has to do with Netcompany Banking Services. And then rest assured that we will do everything we can to be as effective and as good to deliver the services that will continue to make Netcompany the standout name in the industry.
Operator: The next question will be from Yiwei Zhou from SEB.
Yiwei Zhou: Yiwei Zhou from SEB. Also a couple of questions from my side. Firstly, I just want to follow up on the cost synergy. Thomas, if you can elaborate a bit here. So the cost synergy here materialized in Q4, is it a part of the 2026 target or it will be addition to it?
Thomas Johansen: What we realized in 2025 has nothing to do with 2026. So what we're realizing now, you can say, will be on top of what we're realizing. So it's not that we have taken something that was planned for '26 and done it in '25 or anything. So we're following the plan for '26 to '28 of the DKK 300 million to DKK 350 million. And then we've just had the opportunity to accelerate certain things that we've done in Q4, but we'll continue with the same pledge in '26 and forward.
Yiwei Zhou: Okay. And could you also comment a bit on the phasing of the materialization of those cost synergies during 2026. I previously got the impression that it will be back-end loaded. Is it still the expectation?
Thomas Johansen: Yes. Without giving any specific guidance on the quarters of when the synergies are going to be realized because that would then imply that we would give input as to what the margins are going to be in the different quarters. But we don't necessarily expect all the synergies for '26 to be back-end loaded.
Yiwei Zhou: I see. Okay. And then lastly, I also realized in the provision did increase quite a lot here in '25. And I can understand the provision for restructuring, but I can see you also booked a sizable project provision here. Could you elaborate a bit here?
Thomas Johansen: It's related to the merger with SDC into Netcompany Banking services as part of the purchase price allocation. So that has to do with the period before we took over ownership of SDC.
Yiwei Zhou: And is there -- is it fair to understand that you see the risk here that it will be a bad project?
Thomas Johansen: No.
Operator: The next question will be from the line of Aditya Buddhavarapu from Bank of America.
Aditya Buddhavarapu: First, on Denmark. Could you comment on how you're thinking about the public sector development this year, given you saw probably slower tender activity last year, how are you thinking about that going into '26? Second, just a follow-up on the question on margins for the core business. Why do you think -- why is sort of the implied margins for the core business flat? Is that because of maybe some more investments or headcount growth? If you could just maybe offer some color on that? And then could you just comment on how to think about the tax rate for 2026, given you have elevated tax rate in H2?
André Rogaczewski: Yes. Thank you for those questions, Aditya. Let me just take the first one and leave the other ones to you, Thomas. So the public sector, yes, I mean, we are looking into a very exciting year in Denmark at the moment. I mean we have some large public engagements to be had. We won a recent one that we mentioned in the presentation. But we're also looking into what's going to happen at some of the core major Danish institutions, both tax office and of course, also police force and defense. And at the same time, we see public sector running at a decent pace. However, we will also see an election coming somehow during the year. But we are very confident that many of the deals that we need to have in '26, we will be able to get signed and executed upon before elections, and that plan is running accordingly to what we've scheduled. And overall, I believe we will have a very decent year in '26 in public sector because there's so much digitization happening everywhere. And for the margins and tax things, I better leave that to you, Thomas.
Thomas Johansen: Sure. Thanks, Andre. And for the margin, like I said on the previous question that also was on margin. We don't comment per se on the bridge or the buildup on the margin for 2026 for the group or for the organic part. We've given a guidance of 16% to 19% for the organic part, of which we are comfortable at this point in time. And then we will do our utmost to do as good as we can. For the tax rate, we expect that to come down during 2026 to a more normalized level. It is impacted for the first half negatively with the special items that are nontaxable -- nontax deductible, sorry. So that, of course, has a big impact on the tax rate in 2025, which will not have the same impact in 2026. We will see that we can deduct the taxable depreciation on the purchase price for SDC, which will then have a full year effect of 2026 and have a positive impact, meaning a lower tax rate for 2026. So it will normalize in 2026, Aditya.
Aditya Buddhavarapu: Understood. Also just a follow-up on the free cash flow. You mentioned that what you're looking at in terms of the DSOs, work in progress, all of that is looking in the right direction. So how should we think about the cash conversion in '26?
Thomas Johansen: If you look at 2024, that was really high, right, especially in Q4, more than 400%, underpinning that, that was an abnormal quarter, 147% in 2024 and 98% in 2025. So we're probably looking into a year which is more in line with what we've seen from a cash conversion perspective like 2025.
Operator: [Operator Instructions] The next question will be from the line of from ABG Sundal Collier.
Unknown Analyst: Just one question on my end here. So it's obviously very encouraging to see the integration of NBS is tracking well, and we all know that you have high ambitions in terms of growth. I'm okay with Denmark and the Nordics, which I also appreciate are sort of the starting point. But I'm just still curious regarding the expansion you're aiming for into the rest of Europe at some point. Can you confirm that you, at this point in time, have all the regulatory approvals you need, i.e., is it theoretically something you could do tomorrow? Or would it take some time to get these? And if so, how extensive would that be able to get? Would it be -- would it require? That would be my question.
André Rogaczewski: That's a good question. So that depends definitely on the specific type of solution you want to build in a specific European country. Obviously, if you're in -- within EU, many of the regulatory things you need to build particular solutions are already in place. And when it comes to supporting European banks with particular modules or processes, we can do that without any problems at the moment. Now there are definitely some things that need to be regulated even further in EU. For instance, if you want to put things into the EU wallet and you want payment services in that, that still -- there's still some regulation to be had. But overall, I have to say 80%, 90% of what we can deliver to European banks, we can do without any problems at the moment. So that's not a big obstacle. Having that said, the most important thing right now is obviously Scandinavia. We have -- we see a big market there. And of course, the integration of NBS absolutely important. So we have a very, very strong focus on that. I think that alone can bring us to a very interesting place alone in '26 and '27.
Operator: The next question will be from the line of Poul Jessen from Danske Bank.
Poul Jessen: I have 3 questions. First question is coming to Yiwei's question about NBS and the guidance. With DKK 56 million in the fourth quarter and a guidance of DKK 180 million to DKK 230 million for full year '26, then you actually guide flat earnings described that you would see slight growth. And I assume also you will have further initiatives coming in '26. So how should we get to that you will have lower earnings on the full year run rate next year in '26 than you had in the fourth quarter? That's number one.
Thomas Johansen: What we can say in terms of specific guidance for NBS is that we are comfortable with the guidance set out at this point in time. And clearly, Q4 was good and Q4 was based on realization of synergies. So that's also good. Integration is going fine, and we see some very, very strong interest into the business. So let's see where we end the year with both the group and with NBS. At this point in time, we are comfortable with the guidance.
Poul Jessen: Second question, public sector Denmark. Andre, you said that you saw contracts coming up from police tax on defense. We're waiting with consensus moving for an election, do you actually believe that we will see those contracts awarded in before end of April?
André Rogaczewski: I think you were falling out a bit there, but I hear your question is the public sector in Denmark and whether some of the contracts with the tax defense and police will fall into place before spring time. Now I'd say -- okay. I'd say that you will see some of it happening definitely before the summer. The good thing about taxes, a lot of these funds have already been allocated. I think so too, when it comes to Defense '26, even in you will see defense and resilience sector acquiring what they need to acquire in '26, that's not going to be influenced by the elections and the same thing goes. So I'm very confident that '26 will be a year with all those 3 government institutions will actually invest more into IT than we've seen for a long time. So I think it looks promising, yes.
Poul Jessen: Okay. And then a final question is about Schleswig-Holstein. There has been some local German press writing that you are doing a tax solution, a very small one in Italy for the municipalities there. But they also state that it could be run out across all municipalities in Schleswig-Holstein and also more than just the tourist tax. Can you put a little or elaborate a little about what kind of opportunities you see for this isolated, but also how it can be used in Germany to further expand into tax in Germany in general?
André Rogaczewski: Well, it is true that we are delivering minor -- smaller tax solution in Schleswig-Holstein. But we're also in dialogues with other German states about similar solutions based on our AMPLIO platforms. Now the ability to scale those solutions and whether they can be made into larger deals, I think we have to await that. But we are working continuously actually right now in 5 or 6 different areas in Germany, trying to -- trying to use our platforms as an entry point to do new modern case management systems. It's very difficult at this time because it's early days to discuss whether it can be scaled or not. But obviously, that's our intention.
Operator: The next question will be from the line of William Richards from Morgan Stanley.
William Christian Richards: Just a single one for myself. So for the quarter, we saw SEE & EUI segment growth slow a bit sequentially. I think we are now around 7% for the fourth quarter. I know for a while you've been talking about growth slowing in this region to more normalized levels. So I guess my question is, is 2026 the year where we can expect this normalization to take hold? Or was there something else on the growth front in the fourth quarter for that segment that drove this deceleration? Any more color there would be really helpful.
Thomas Johansen: So the deceleration of Q4 stand-alone was driven by lower license revenue in Q4. So that's the main reason for that. We don't necessarily expect the growth to be had in SEE & EUI to come to an end in 2026 on the contrary. I think we lost William.
Operator: Yes. As we have no further questions in the queue, I'll hand it back to the speakers for any closing remarks.
André Rogaczewski: Well, thank you all for joining in, and have a wonderful day.